Craig Marshall: Good morning, everyone, and welcome to BP's Fourth Quarter and Full Year 2023 Results Presentation. I'm delighted to be here today with our newly appointed Chief Executive Officer and Chief Financial Officer; Murray Auchincloss; and Kate Thomson. Before we begin today, let me draw your attention to our cautionary statement. During today's presentation, we will make forward-looking statements that refer to our estimates, plans and expectations. Actual results and outcomes could differ materially due to factors we note on this slide and in our U.K. and SEC filings.  Please refer to our annual report, stock exchange announcement and SEC filings for more details. These documents, along with this presentation, are available on our website. Let me now hand over to Murray.
Murray Auchincloss: Good morning, everybody. Thanks for joining us today here at St. James. We've done this before, haven't we? But it's the first set of results where I have the privilege to talk to you as CEO of BP. It's a great company. It has great people, and it's an honor to lead.  Our destination is unchanged, IOC to IEC, international oil company to integrated energy company. We're confident in our strategy to deliver this, but are going to do so is a simpler, more focused and higher value company, providing energy solutions for our customers who are asking us to help, contributing to the energy transition, all the while remaining pragmatic and adapting in line with demand, as you saw with the update to our strategy this time 12 months ago.  So what does it practically mean to transition from IOC to IEC. Over 100 years ago, we started to create our first value chain, oilfields attached to refineries, with products sold in service stations and airports. We're now introducing biofuels, sustainable aviation fuel and biodiesel to the customer. At the same time, we're lowering the carbon footprint of our plants by using lower carbon hydrogen and electricity for power. Why? Because we can deliver higher margins with lower emissions.  Over 60 years ago, we started to create the second value chain, natural gas fields linked to domestic pipeline systems and eventually liquefaction plants. We're now introducing biogas, carbon sequestration and lower carbon electricity to the customer. Why? Because we can deliver higher margins with lower emissions.  And over the past 4 years, we've been accelerating our efforts to create a third value chain, lower carbon power and hydrogen. For example, using solar-wind to create lower carbon hydrogen to provide to our plants and customers and using those electrons to service the growing electricity demand through our EV charging business. Why? Because we can deliver higher margins with lower emissions.  All of these chains are then optimized by our fantastic trading organization, driving superior returns to what a pure play can deliver. And the more we can interlink them, the more we can expand the returns. Over the past 4 years, we've delivered, on average, around a 4% uplift to group return on average capital employed across these chains through these efforts. We think this is a sector leading.  Now across all these chains, we've always have choice about how much we produce ourselves in the upstream or purchase from other producers. That equally applies to oil, natural gas and renewables. The magic is getting that mix right inside our business lines to optimize returns and trading optionality. The most important part is to ensure absolute discipline in investing [indiscernible] capital, ensuring we hit our return thresholds across these value chains. That's what an IEC is to me, investing in today's energy system while building out tomorrow's, lower carbon, higher margin.  Now it's 4 years in. We've learned a lot and adapted along the way. It's made us stronger, more confident in the growth we have coming and more convinced about the value we can create. I'm passionate about this strategy, as I think there are only a few companies globally that can do this at scale. And as we deliver, we will grow the value of BP, and that's what I'm focused on, growing the value of BP.  So what should you expect from us moving forward? As always, let's start with safety. We're making good progress, but there's always more we can do. Delivering safety is very important to me, and it's very personal. 4 generations of my family have worked in the sector. My great grandfather actually died in an industrial accident. And I can remember my father teaching me about the dangers of hydrogen sulfide and a natural gas field as a child. We work in a high hazard industry. And every day, we must make sure everyone comes home safe. That's our first priority.  The past few years have been about generating options. Now we will focus our efforts on the key areas where we can be competitive, and we'll simplify the business. We'll pursue this in every way you can imagine from origination to our narrative.  We will be relentlessly value and returns focused with our investments, focused on growing value and returns from our oil and gas portfolio, leveraging our high-quality resource base and driving efficiency and reliability, as we laid out in our update in Denver last year and growing value from our transition businesses as we invest with discipline in the pipeline we have developed and by creating even more value through integration. We will continue to be pragmatic in our approach to how we navigate this energy transition.  Yes, we want to help scale lower carbon energy value chains and position ourselves to profit from them, but we must remain flexible, adjusting in line with changing demands and societal needs, as you saw us do in February last year.  And we have a tremendous team delivering this, and I want to ensure we place engineering science and technology, both digital and physical at the heart of the company.  I've seen firsthand the impact and possibilities of innovation and digital solutions, including across the upstream and expanding our customer offer and improving our back-office processes. And some of you saw this for yourself in Denver. What's really exciting, we see potential to do even more to transform our businesses.  We've been working with AI, including machine learning and computer vision models for more than 5 years, and we have over 100 live AI case -- use cases across the business now. These proven enormous opportunity to help us capture increase margin and decrease spending.  And finally, you can expect to see us continuing to make full use of our creative commercial muscle to optimize how we invest and create value with Aker BP and Lightsource bp providing excellent examples for the future.  So to sum up, the destination is unchanged, but we're going to deliver as a simpler, more focused and higher value company, unlocking the full potential of our assets and our people and growing the value of BP.  So let's turn to 2023 and what was a year of continuing delivery. Starting with safety, we have seen improvements in our safety performance, reducing our Tier 1 and Tier 2 process safety events, but we have more to do. We need to keep improving to eliminate all Tier 1 process safety events, continuing to apply OMS and constantly reinforcing and building on our operating culture across the business.  Next to our business performance, where we have delivered resilient operational and financial performance in 2023. Adjusted EBITDA was $43.7 billion. Operating cash flow was $32 billion. Net debt reduced to $20.9 billion, and average return on capital employed was 18.1%.  We are executing our strategy with discipline across our oil and gas business and our transition growth engines, as I'll come to in a minute. And we are delivering competitive shareholder distributions. We grew our dividend for ordinary share by 10% last year. Today, we announced a further $1.75 billion of share buybacks, bringing our total buybacks announced from 2023 surplus cash flow to $6.5 billion. We have seen strong momentum in our operational and strategic delivery in 2023.  Starting with oil and gas. Our upstream production grew by 2.6%. We started up 4 major projects that we expect to contribute more than 50% towards our target of 200 mboe/d by 2025. BPX production grew by 13%, surpassing 400 mboe/d in the fourth quarter. We managed base decline between 3% to 5%, supported by high return investments and new well delivery and well work. And in refining, availability was over 96% for the year.  Our LNG supply portfolio increased by 20% to around 23 million tonnes per annum, largely driven by Coral and Freeport. In addition, we delivered 10 million tonnes per annum of incremental short- and mid-term merchant volumes.  We completed Atlantic restructuring, enabling the next wave of projects in Trinidad and securing long-term LNG equity offtake.  We accessed 44 exploration blocks in Gulf of Mexico, Canada, Brazil and Deepwater Trinidad. Our unit production cost was around $6 per barrel of oil equivalent, in line with our 2025 target. And proudly under aim 4, we met our first goal of deploying our methane measurement approach across all our existing major operated upstream oil and gas assets by the end of 2023, a very important milestone.  Turning to our transition growth engines in Bioenergy. We increased our biofuels production by 18% year-on-year and biogas supply volumes by 80% year-on-year, reflecting the uplift from Archaea.  In convenience, we delivered 60% growth year-on-year in gross margin, including the contribution of TravelCenters of Americas. Excluding TravelCenters, we've maintained strong underlying growth of 9% year-on-year, building on the average 9% per annum over the previous 3 years despite recessionary forces. In EV charging, we are rapidly building scale and demonstrating profitability in Germany and our JV in China. Energy we were sold rose by 150% year-on-year, supported by a 35% increase in the number of EV charge points and increasing utilization.  Importantly, our charging customers in the U.K. are spending more in our shops than our fuel customers. This gives us further confidence in our fast on-the-go business model.  We grew our hydrogen pipeline to 2.9 million tonnes per annum. Our focus this decade is on blue hydrogen and decarbonization of our refineries while laying the foundation for green hydrogen production towards the end of the decade.  In renewables and power, we grew our renewables pipeline to 58.3 gigawatts net to BP, including the offshore wind award in Germany, Lightsource bp's pipeline and our onshore renewables projects supporting hydrogen in Australia. And we have agreed to take full ownership of Lightsource bp, one of the top solar providers globally, a fantastic business with a track record of delivering equity returns in the mid-teens over the past few years with our development flip model.  Integrating all of these are trading and shipping businesses, as I described earlier. This is our strategy in action, and we have more to come in '24 and '25 that I'll describe later. But for now, let me hand over to Kate to take you through our fourth quarter results and our financial frame. Kate?
Katherine Thomson: Thanks, Murray, and good morning, everyone. I've been here once before, and I echo Murray sentiment. It is an honor to speak with you as CFO.  Let's turn to our results. BP's focus on delivery supported another quarter of strong underlying operational and financial performance. Our upstream volume was 2.3 million barrels of oil equivalent per day, in line with our guidance.  Gas and low carbon energy production was around 900,000 barrels of oil equivalent per day. The underlying financial result was around $500 million higher than the previous quarter, largely reflecting a strong gas marketing and trading result and stronger gas realizations, driven by higher gas prices. This was offset by a noncash write-off of around $300 million, largely related to the exit from a production sharing contract in Senegal and by lower production.  In oil production and operations, production was 1.4 million barrels of oil equivalent per day. The underlying result was around $400 million higher than the previous quarter, largely reflecting favorable price lag impacts in the Gulf of Mexico and UAE.  In customers and products, the underlying result was around $1.3 billion lower than the previous quarter. Looking at the businesses. In our customers' business, the underlying profit was $880 million, around $200 million higher than the previous quarter. The result benefited from stronger-than-expected fuel margins driven by a decline in supply and a one-off positive effect of around $100 million. This was partly offset by lower seasonal marketing volumes as well as higher costs in support of our transition growth engines.  In products, the underlying loss was $80 million compared to $1.4 billion profit in the third quarter. The result reflects significantly lower industry refining margins, albeit with a smaller decrease in realized refining margins because of wider North American heavy crude oil differentials. In addition, as we guided, there was a higher level of turnaround activity, including a full site turnaround at Castellon. The oil trading result was weak compared to the very strong result in the third quarter.  Results from our other businesses and corporate segment improved around $200 million on the previous quarter, largely due to foreign exchange gains. And as we've said before, results in this segment do vary quarter-on-quarter.  Reflecting these factors, we reported an underlying replacement cost profit before interest and taxes of $6.1 billion. After interest and taxes, we reported group underlying replacement cost profit of $3 billion.  Our underlying effective tax rate increased in the fourth quarter to 42%, mainly reflecting profit mix effects. And on an IFRS basis, we recorded net adverse adjusting items of $1.5 billion after tax, primarily related to impairments, reflecting changes in the group's price, discount rate, activity phasing and other assumptions, partially offset by fair value accounting effects.  We also recorded inventory holding losses of $1.2 billion during the quarter. Taking into account these items, we reported a headline profit of around $400 million.  Turning to cash flow and the balance sheet. Operating cash flow was $9.4 billion in the fourth quarter, around $600 million higher than the third quarter. This was largely due to a higher EBITDA and lower cash taxes compared to the third quarter related to the timing of tax installment payments.  Operating cash flow included an underlying working capital release of $2.1 billion, largely associated with the delivery of LNG cargoes. Capital expenditure was $4.7 billion, which is $1.1 billion higher than the third quarter. This brought full year CapEx to $16.3 billion, which is broadly in line with our guidance.  Divestment proceeds were $300 million, bringing the full year to $1.8 billion. That's slightly lower than our guidance. And the $1.5 billion share buyback program we announced with the third quarter 2023 results was completed on the second of February. Our balance sheet continues to strengthen with net debt reducing to $20.9 billion. That's the lowest level for a decade.  As you saw this morning, we've announced a 4Q dividend of $0.0727 per ordinary share, an increase of 10% compared to last year. And as Murray mentioned earlier, we announced $1.7 billion of share buybacks from 2023 surplus cash flow. As you can see on the chart, in total, we've now bought back over 16% of our issued share capital, since we started our buyback program in 2021. To sum up, it's been another good year of delivering against our financial frame.  Let me now take you through the guidance on our financial frame for the next 2 years. Our 5 priorities remain unchanged. Given the strength of our underlying financial performance, the disciplined approach to strengthening the balance sheet over the last few years and our confidence in our drive towards 2025, we now have the capacity to update our financial frame and provide clear guidance for the next 2 years through 2025. We're tightening our capital expenditure guidance, enhancing our share buyback guidance, all while continuing to maintain a strong balance and a strong investment-grade credit rating. As Murray said earlier, we're focused on simplifying things where we can.  Our first priority remains a resilient dividend accommodated within a balance point of $40 per barrel Brent, $11 RMM and $3 Henry Hub. With capacity for an increase in the dividend per ordinary share of around 4% per annum at around $60 a barrel, subject, of course, to the Board's discretion each quarter.  Our second priority is our strong investment-grade credit rating. We're targeting to further progress our credit metrics within the A-grade credit range through the cycle. We're not targeting a AA credit rating.  Third and fourth, we plan to invest with discipline. We're driven by value and focused on delivering returns at least at our hurdle rates across our transition growth engines and our oil, gas and refining businesses. Capital expenditure is now expected to be around $16 billion per year through 2025, including inorganics.  And finally, to share buybacks. As I said, we're simplifying and enhancing our guidance. For the first half of 2024, we're committed to announcing $3.5 billion. That's $1.75 billion per quarter for each of 1Q and 2Q. This provides near-term predictability. And to be clear, this is in addition to the $1.75 billion share buyback we announced today for the fourth quarter of 2023.  Over 2024 to '25, subject to maintaining a strong investment-grade credit rating, our expectation, assuming current market conditions, is to announce at least $14 billion of share buybacks in total. And on a point-forward basis, we're now committed to returning at least 80% of surplus cash flow. This is an enhancement to our previous guidance of 60%, and it's an affordable range underpinned by two things, the strength of our balance sheet and our confidence in the future performance of our business.  Let me now close with a summary of our forward-looking guidance before I hand back to Murray. This slide is a little detailed, but it summarizes guidance for the full year ahead and the quarter ahead, and it's all in one place for you. I'm not going to read it line by line, but let me start just by highlighting some points in relation to the first quarter 2024 compared to the fourth quarter.  We expect upstream production to be higher. And customers, we expect seasonally lower volumes across most businesses and the absence of one-off positive impacts. Fuel margins remain sensitive to movements in cost of supply.  In products, we expect a significantly lower level of refinery turnaround activity. And in addition, we expect lower industry refining margins with a larger reduction in realized margins because of narrower North American heavy crude differentials.  And with regard to the full year 2024, we expect this year's capital expenditure to be weighted to the first half, while our target of $2 billion to $3 billion of divestments and other proceeds is expected to be weighted to the second half.  And as Murray mentioned, our trading business has delivered on average an uplift of around 4% to group over the past 4 years. This slide forms part of some enhancements we're implementing to help the investment community.  Starting with the first quarter 2024, we also plan to introduce a regular trading statement to provide our investors with up-to-date financial performance insights. Today's announcement and our updates to the financial frame, together with our detailed guidance, we hope provides more clarity for the market.  And with that, I'll hand it back to Murray.
Murray Auchincloss: Thanks, Kate, nice to have her CFO, upgrade on the previous guy. Over the next 8 quarters, we're focused on delivering our 2025 targets, our drive to 2025. We are confident in achieving these for two reasons. First, we're clear on what businesses need to deliver. And second, we have strong momentum, as I've previously described.  In oil and gas, we expect to start up 6 new major oil and gas projects, bring online 2 new central processing facilities in the Permian and BPX, checkmate and crossroads, I love their names. And equity and merchant supply to our LNG portfolio that underpins our 25 by '25 target. We'll continue to leverage our distinctive delivery model across project and operations to deliver plant reliability at around 96%, maintained base decline of 3% to 5% and $6 per barrel of oil equivalent unit production cost.  In refining, we expect to drive greater competitiveness and value through our digitization and business improvement plans, including maintaining Solomon first quartile net cash margin.  In Bioenergy, we expect to more than double our biofuels coprocessing volumes to around 20,000 barrels per day in 2025, investing in our advantaged refining portfolio.  In biogas, we started about 5 gas plants in 2023, and Archaea expects to start up between 15 to 20 new plants per year through 2025.  In convenience and EV charging, we plan to deliver EBITDA of more than $1.5 billion in 2025. In convenience, we are focused on the rollout of strategic convenience sites supported by customer offers, strategic partnerships and digital investments and integrating TravelCenters of America, realizing deal synergies and expect to grow EBITDA to around $800 million in 2025 with convenience, a significant contributor.  In EV charging, we plan to grow energy sales across our 4 key markets and expect to deliver positive EBITDA in 2025. In Castrol, we expect to drive EBITDA through volume growth, cost efficiencies and emerging new business areas.  In hydrogen and renewables and power, we will remain disciplined and focused on value creation, establishing the capabilities and foundations for scalable and integrated businesses in the decades to come. Our recent announcement of the acquisition of Lightsource bp is a great example.  We will continue to leverage the benefits of our integrated business model. We are advancing our technology and innovation agenda, moving past pilots and use cases to building our own custom generative AI products, and we are getting into the hands of our global workforce. And our world-class trading business will continue to be the core of integrated and optimizing across our energy value chains to deliver higher margins and lower emissions. All in service are our target to grow EBITDA to $46 billion to $49 billion in 2025.  Let me then sum up what you've heard and we'll get to your questions. 4 years in, our destination is unchanged. IOC to IEC, and we remain confident in the strategy. At its core is a laser-like focus on growing the value of bp, and underpinning this, we're going to be focused on 6 near-term priorities: first, improving safety, our first priority and reducing emissions. Second, driving further focus into the business. That means actively managing our portfolio and continued high grading and focusing on activities that create the most value.  Third, delivering the next wave of efficiency, an area where I see a huge opportunity. For example, using global capability centers and our industry-leading digitization and technology expertise to increase margin and decrease spend. What some of you saw in Denver is just the tip of the iceberg, and we are now deploying that capability into the downstream.  These efficiencies will feed into our fourth priority, that is progressing the next set of growth projects that we expect to sanction across the next 2 years. These projects provide growth through the end of the decade and into the next. And fifth, as you heard from Kate, we have disciplined investment allocation at the core of our financial frame, which is focused on optimizing return on capital employed. And finally, our sixth priority, we remain committed to growing shareholder returns including now returning at least 80% of surplus cash flow to shareholders through share buybacks.  We know exactly what we need to do, and some of the key measures are up on the slide. You can monitor our progress quarter-to-quarter as we drive to 2025.  In conclusion, we're investing in today's oil and gas system and building out tomorrow's all in service of growing the value of BP. The direction is the same, but we're going to deliver as a simpler, more focused, higher value company that pragmatically adapts with demand and societal needs. And we look forward to updating you as we move through the year.  With that, Kate, and I will be delighted to take your questions. Thank you.
A - Craig Marshall: No questions online yet. Let's see, where should we start. Michele, why don't we start with you, please. Limit yourself to 2 questions, please, if you can. That wasn't directed personally at you, Michele.
Unidentified Analyst: Of course. It will only be two. And congratulations on the strong results. Two questions, if I may. The first one, when you talk about an A range credit metrics through the cycle, is there a simplistic way to bring it down to a net debt level that you would like to achieve in the course of the coming years?  And my second question is on the transition growth engines. Clearly, you've got a very ambitious target in terms of EBITDA in 2025. It's more than a tripling of EBITDA, which goes well beyond the volume growth. I was wondering if you could help us a bit more understand where that increase in EBITDA margins would come from? Is it cost? Is it price? Is it cost-cutting and integration of the likes of Lightsource bp?
Murray Auchincloss: Fantastic. Thanks, Michele. I'll take the second question first, and then Kate, I'll hand over to you for the balance sheet question.  On the TGs, yes, it's an aggressive growth profile from around $1 billion in 2023 to $3 billion to $4 billion by 2025. If you think about what we've done over the past few years, we've bought an awful lot of companies and now need to bring them in, standardize them and drive that growth through them. So the march from $1 billion to $3 billion to $4 billion, it starts with Archaea. We went slow on purpose to get the design right for rapid replication. We're now in action. We've got 5 plants online. We'll do 4 or 5 a quarter now, marching forward over the next 8 quarters.  In TravelCenters of America, we brought it in. We're starting to deliver the synergies inside that. We see tremendous opportunity to introduce biofuels into it to enhance margins. We're probably going to beat the synergies on that. The company was not as efficient as we thought it might have been so that delivers more opportunity as well. We'll have Lightsource bp coming in that will allow us to grow that business and absorb that EBITDA as well.  And in Emma's business, we do continue to see really strong growth despite recessionary forces and convenience, 9% year-on-year despite recessions, despite COVID, you name it. We've got a fantastic team that we brought in, that's really driving growth in that space as well.  EV, earnings positive in 2 countries. We'll get everything to breakeven by 2025 as well. And of course, we'll tighten. We'll really tighten the focus on origination, not spend as much money on origination and really focus on what we're going to deliver moving forward.  So I feel comfortable. It's a bold target to hit 3 or 4, but I feel comfortable with it based on what we've done and I look forward to reporting back to you on that over the coming quarters. Kate?
Katherine Thomson: Thanks. Michele, thanks for your question. Let me just step back a minute and just make sure everyone is still very clear that the balance sheet and the credit rating, the stronger investment grade credit rating remains the second priority. That's fundamental to us. I think resilience of the company from a financial position is more than just net debt. And I like the way that the credit rating agencies think about the ratio of the cash that we're generating versus the total of our debt like liabilities. I think that's a good measure of resilience. The change we're making today, which is moving away from targeting progress within the rating to being clear around progress within the metrics is I've got control over that.  We've got a great relationship with the rating agents. We speak to them very regularly, but we can't control the rating outcome and neither should we. We did get upgraded by Fitch in November. We remain on positive outlook with S&P and Moody's. So let's see. We are well within the metrics for an upgrade, but that's it for them to decide.  But from my perspective, it's around making sure that we are maintaining a balance sheet that is resilient, allows us to see through volatility, allows us to tolerate a perspective of environment that is going to move but also cash flows that are going to move around within quarter. So you've seen from the guidance where we're guiding to heavier CapEx in the first half and heavier divestments in the second half. You're going to see our net debt move around. That's okay.  We strengthened it so significantly in the last few years, down to this level, which is the lowest in a decade. That gives us a lot of confidence that we can tolerate that level of momentum. So I'm not going to put a net debt target out. I'm going to tell you I'm comfortable with where it sits right now and our ability to tolerate movement, and remind you that we will continue to obviously be putting around 20% of our surplus cash flow to the balance sheet. So it's going to continue to deleverage just at a slightly slower pace.
Biraj Borkhataria: It's Biraj Borkhataria, RBC. I've got two questions. The first one is on your EBITDA targets over the -- more for 2030 than 2025. In the footnote, when you presented that in the past, you'll say CapEx at the higher end of the range. And in '22, you were at 16%, '23, 16% and now you're guiding to the middle for '24 and '25, so basically half the plan. So could you talk about the sort of, let's say, EBITDA sacrifice for not spending that extra $2 billion, and where it's coming from and how to think about that?  And then the second question is on the dividend. So you referenced the 4% at 60, are you looking to explicitly link that to the buyback scheme? You're obviously buying back shares faster than any of your peers as your chart showing? Or do you see the most 2 separate things and your preference for the buyback here?
Murray Auchincloss: Great. I'll tackle the first one. Kate, you grab the second one. So the long-term guidance on capital frame has not changed, $14 billion to $80 billion through the decade. What we are changing is we're getting more disciplined with '24 and '25 year, tightening in on a $16 billion range for these 2 years.  I think the way that I relate to this, Biraj, is that we've done a lot of acquisitions recently, EDF, Archaea, TravelCenters of America, Lightsource. These are big transactions. They represent north of 2% of our overall value, which is similar to some of the big transactions you've seen in the United States from some of our competitors on an equity basis. And, it's injecting a lot of people into the business.  19,000 alone inside TravelCenters of America. So it's time now to pause on acquisitions. We might do a few more, but to pause on them and instead focus on that hard work of integrating the systems, the people, the processes, the cultures of these entities, and that's really what we're focused on right now.  As far as an EBITDA sacrifice, I remain very comfortable with our 2025 targets I think in a $0.20, $0.30. We haven't really deviated from the '25 to '30 time frame so it's not anything material. So I think the latest numbers adjusted give or take, on our 46 to 49 target in 2025. We're at about 44. So I'm feeling pretty good about that as well. Strong, strong growth inside the upstream. And so I feel comfortable about '25. No change to 2030 at this stage. And in due course, we'll update the market on what we're thinking about for targets for 2030. Those, of course, are aims right now, Biraj. Hope that helps. And over to Kate.
Katherine Thomson: Thanks, Biraj. So on dividend, look, making sure that it's a resilient dividend, is really important to us, which is why we are keeping it as our first priority in the financial frame today. The reason we haven't created and I don't think we should create a link to share buyback is, of course, with the share buyback progress, the share count reduction occurs over time.  We've got a very significant decrease in our share count reduction to date. That's going to continue, given what we've just laid out today. That gives the Board an ability to move the dividend per share up. But of course, the Board is going to take into consideration facts and circumstances every quarter, as it looks at the dividend, which will be depending on cash flow generation to date, what the outlook looks like, environment momentum.  And they will take that decision as and when we get to each quarter. I don't think linking it to a particular buyback share count reduction is helpful because it removes flexibility. We want to retain flexibility so that when we're considering it as a Board, we can take into consideration that basket of considerations that will allow us to make the right decision for the company and the shareholders.
Murray Auchincloss: I think balance point is the key, isn't it? The thing that we feel really, really anchored to is that balance point of affordability on the dividend at . And of course, share count reduction helps drive that balance point down, but balance point is what we're obsessed about. Chris?
Christopher Kuplent: Chris Kuplent from Bank of America. Two quick questions. Murray, you've mentioned in your speech, Aker BP and some of the value creation you've now achieved off balance sheet with Angola as well. And I wonder whether you can contrast against that, how you're bringing Lightsource into fully your realm of control? We've seen the asset swap with Equinor, TA and all those acquisitions were fully owned, fully in control. So maybe you can compare and contrast a little bit why it matters to you in those situations?  And my second question, Kate, I noticed the $14 billion 2-year guidance is based on current market conditions. Where do you -- how do you feel about current market conditions? I noticed that, yes, refining margins have come down a lot, but they still sit above your balance point comment, Brent, likewise. Give us a little bit of a feel how comfortable that current market condition comment can be interpreted?
Murray Auchincloss: Yes. Great. Okay. Chris, I'll start and Kate, can go second. So Aker BP, a fantastic transaction, unique circumstances associated with it. We were in declining assets late in life, made sense to exit the basin. That north -- the counterpart was in growth mode, but they needed cash generation to be able to grow. They just didn't have enough cash generation themselves. So we found after many years of discussions that we could bring those two companies together and create something pretty special.  I don't know what the current numbers are, but we -- it was worth about $1 billion when we did the transaction. I think it's up around $3 billion or $4 billion now. So tremendous value creation for both sides. No loser inside that one.  With Lightsource bp, we had a partner that's a private individual. They have grown and scaled this business tremendously, but they've reached the ability -- they've reached their max ability to finance this. So it's a little bit like the Aker BP situation where they didn't have enough cash to grow. So this was the moment in time for them to cash out for us to take over Lightsource bp. It has a couple of advantages for us to structure it this way right now.  Coral has a fantastic trading business and demand for natural gas coupled with solar and battery technology continues to grow and grow and grow. We're seeing some really big demand coming out, especially from cloud providers, who have GenAI. Just the demand curves are asymptotic, is that the right word? I don't know. Whatever the right word is, huge, huge demand for these things. So being able to control that entity, package these things together and provide those trading options or those packages of energy is really important.  The second thing is, if green hydrogen does move, you're going to want control of the developer if that happens. Why? So you avoid giving margin away to third-party developers that can be quite high. So at this moment in time, it makes an awful lot of sense to bring that in, repackage it, straighten it out, pointed towards helping Carol's business, helping Anja's business. And I think that creates distinctive advantage for us right now.  We will continue to bring partners in for develop and flip. We'll contemplate what we do with the developer itself. Should we bring in a partner or not, that's something we'll keep thinking about and we'll remain very agile. But they have different circumstances. I hope those examples give you a sense of how we think about these things, which is how do you drive max value through different points in cycle in these entities. So I hope that helps answer the question, Chris. Kate?
Katherine Thomson: Yes. So Chris, current market conditions. So a couple of things I'd say, one, is I think it's important to anchor yourself around the fact that the cash flows of our company not driven by an oil price alone. So it's a basket of commodities, it's oil price, it's gas price, it's refining margins. You know that. And you can look at where we've been year-to-date so far to get a sense of where we're thinking on that.  What I would say is that the confidence that we now have in our balance sheet to tolerate movements around that gives you a sense that we can be comfortable in the fact that we'll be able to distribute the $14 billion in a range around where those prices have been year-to-date. If we see a fundamental disconnect in the market, then, of course, we'll need to talk to the Board and update you, if that happens.  But for now, the confidence we have in the business performance and the momentum we've got, the confidence that we've got and the strength of our balance sheet allows us to be confident that we can deliver the $14 billion at prices around where they've been year-to-date. That's how I hold it.
Oswald Clint: Oswald Clint, at Bernstein. It looks like -- I mean just backing out maybe $4.5 billion of trading last year, I always like to try and dig into this. So it looks like, again, as Kate was saying, you hit the 4% number. So that's great. I guess just in this next two years, can you just talk about -- again, the confidence maybe linked to that last question and points to macro is -- at this macro, you can keep doing that quantum in 2024, 2025 what -- including the new businesses trading around those. Just again describe the confidence around delivering that through this year and next.  And then secondly, Murray, you said there are 4 generations in the oil and gas business. You're sitting and then you see -- I'm just curious about your appetite for a little bit more liquids growth potentially through the portfolio. We have the 3% to 2027. How do you think about bringing some more through, service cost inflation, all of that put together, please?
Murray Auchincloss: Yes, sure. Maybe I'll take both of these, sorry, Kate. Liquids, yes. So what we told everybody in Denver is that we see the capacity to grow our oil production, so to speak, by 2% to 3% through 2027. As we look ahead over the next 2 years, we have some big decisions on sanctions as well that will determine what happens beyond that, Os. So you have Cabo Frio in Brazil. You've got Kaskida, Tiber, Gila in the Gulf of Mexico and the Paleogene [indiscernible] Northern Canada, you have clear expansion. You have Abu Dhabi expansion. I'm probably missing some that I can't think of off the top of my head, but you have these massive projects, some of which are held 100%. I think Paleogene 9 billion barrels 100%.  Let's see how we go on those. And if we decide to sanction more of them rather than less, then I think we can do better than that 2% to 3%. But I'm not going to be focused on volume. I'm going to be super focused on returns and what's the right returns as we look across that versus the gas portfolio as well. There's a plethora of potential gas sanctions as well.  So I think that's the task of 2 years ahead. That's why I highlighted it. Our reserve replacement ratio has been a bit low in the past. It's going to get back much more competitive now, as we look at this 12% to 16% sanctions across the next 2 years.  What the volume outcome from that will be? Hard to predict. We've given you 2 million a day by the end of the decade, 2% to 3% growth through '27 on oil, but I think the sanctions will really determine that. So as we get through '24 and '25 and decide those, then we'll update you in due course about what 2030 really looks like based on all those sanctions. So I have a bias for returns. I don't necessarily have a bias for volume or oil gas on returns by ourselves.  On trading, to have Carol's performance contract conversation in front of everybody, we remain deeply confident in our ability to generate the returns in the future that we have in the past, is my starting point. If you think back to 2020, '21, '22, '23, the world has seen a tremendous amount of volatility from COVID to the invasion of Ukraine, to events in the Middle East, to recessionary forces. That's just created incredible volatility. As you look ahead, oil demand continues to be very strong, and there's not very much spare capacity outside Saudi really. So capacity is tight.  In refining, we've seen a lot of shutdowns on refineries. Today, the diesel complex is short. I'm sure tomorrow the gasoline complex will be short. These things keep changing because of all the outages that sit around us.  Natural gas, we feel okay about it right now, but a cold snap in the winter and one of the years changes the position on natural gas as well. So my own sense is that the world is quite volatile. It's quite volatile, and our businesses -- our trading business is set up to manage volatility and do well in a volatile time frame.  Second, we're growing the business, more LNG, 25 by '25 is underpinned. I think 28 by '30 is already underpinned as well by a couple of contracts we've done in Oman and in Canada, Woodfibre. So you can already see those coming into the portfolio. So you've got a bigger LNG portfolio to take advantage of. We've started purchasing larger positions inside power as well so we can power a couple with gas. That was EDF in the U.S. and another transaction in Germany recently in January. So we're scaling up that.  At the same time, our biofuels is growing, more coprocessing through each of our refineries. These are very capitally efficient small modules that buildup 5 or 10 kbd of capacity quite quickly with lots of biofuels trading, and there's lots of price volatility in that space as well. So I think we will -- I think I'm very comfortable with the 4% moving forward.  You might ask Carol in private time if she feels as comfortable as I do. But I think given the growth of the business, the amount of investment we're putting into it and the volatility that we see ahead, I think we're well positioned moving forward. Hope that helps to answer.  Great. Why don't we go to the next question, Lydia, and then I'll go to Paul online. Lydia?
Lydia Rainforth: And just say I am delighted to both of you individually and for the BP, for the roles that you now have and thank you also for the longevity of the guidance as well in terms of the buyback. But Murray, you've talked about was in a simpler higher-value BP, which all sounds great because that you'd ever say it's going to be more complex. But what stops you from get there? What are your biggest challenges over that next 8 quarters?  And then for Kate, the buyback you talked you at least $14 billion. So what moves you from that? is it operational or is it kind of -- is it purely price related? And linked to that, how do you think about CapEx versus buybacks?
Murray Auchincloss: Lydia, that might have been 3 questions. It was 2.5, okay, very good. I'll let Kate handle the second set on challenges for simplification. So I think the easiest way to think about this is the past 4 years has been about origination. The scale of the hopper we built in the hydrogen and solar, in offshore wind, in oil and gas, everywhere, you can see, we have tons of options to move forward.  And the big challenge is to now get the organization, the engineers and the commercial people to move away from origination to execution. That's the big challenge. So forcing the pace to get to decisions so we can increase cycle time to increase value, reallocating the people to the right places and then stopping the old stuff.  As always in large corporations, stopping the old stuff is a perpetual challenge and that's probably the challenge the leadership team and I have is really getting people to really focus on the stuff and not pursuing other things.  At the same time, there's a huge opportunity inside technology. We've made immense strides on digital over the past 10 years, especially in the upstream business. We've now struck a deal with Microsoft to be their -- one of their founding partners on AI Copilot. We're getting it in the hands of our engineers and across the company. And trying to figure out what are the best things to go after at scale is a key challenge because the opportunities are enormous in this space.  So to me, it's all about focus, if I'm honest. It's all about focus and getting the organization to focus and then let go the other stuff. That's the biggest challenge that we'll have moving forward. Kate?
Katherine Thomson: Yes. Thanks, Lydia. Maybe I'll talk about the $14 billion first, and then I'll come back to your question on CapEx and share buybacks. So the way I think about the $14 billion -- and Murray talked about the drive to 2025 and all of the confidence that we have and the momentum that's currently around the company, the operations are performing really well. We've got a number of things that come online over the next 2 years.  That gives us enormous confidence in terms of the underlying operations and our ability to deliver the business outcome. So that bit I don't feel is in the picture in terms of deciding where we go with the $14 billion. For me, it's really about environment. And if there's a fundamental change in the environment, then obviously, our cash flows are going to change in relationship to that. So that's why we've anchored it on current conditions.  We went to current rather than reasonable because we wanted to give you something that was objective and not subjective. So that's why we went with current market conditions, and you know what those are.  In terms of CapEx and share buybacks, so I wouldn't interpret the tightening of the CapEx guidance to 16 as being part of the affordability of the 14. I see the CapEx tightening is a real symbol of our focus on the fact that we are going to be hugely disciplined in how we allocate our capital and very much, very much returns driven. Our sanctions have to hit hurdle. Otherwise, we won't move them through. And I think that's really important.  Murray and I are incredibly clear on that. We've done a lot of inorganic activity, which we've talked about over the last couple of years. I think going forward, there's probably a less space for that for the next couple of years. I think the 16 feels about right based on the activity set that we've got today loaded and the tightness that we see around the big -- certainly, the upstream yards around the world we wouldn't really want to -- couldn't really do it well, actually, if you were to take that up.  So I wouldn't link the share buyback upgrade to the CapEx tightening. The CapEx tightening is about discipline and focus. The share buyback is around the confidence that we have in the balance sheet and the underlying performance of the business to deliver, and that's what's generated our ability to upgrade and enhance. Thanks, Kate. I'll go online now, Paul Cheng, Scotia Bank. Paul?
Paul Cheng: Murray, I just want to go back into your prepared remarks say [indiscernible], and you also -- in your early comment that you want to say, let's go some of the pivots behavior and focusing on more efficient. So from that standpoint is the organization structure need to be adjusted or that you can do all that within the current organization structure.
Murray Auchincloss: Great. Thanks, Paul. Appreciate the question. It was a touch hard to hear you, so I think I'll try to answer the question. If I don't answer the question, let us know, please.  I think the question was organization structure. Do we feel we have the right organization structure to move to delivery? Look, we made a huge change in organization structure back in 2020, probably the largest organization structure in our 114-year history. I don't want to do that again. That was needed, but really demanding on people and demanding on the corporation. Some of those changes took a couple of years to enact in places like Europe. So I don't want to do mass change of structure.  I don't think we need to either. However, there are places where we're inefficient. And we'll do a gradual program over time of driving efficiency into the business and the structure. There are places where we've got overlapped that we need to think about how to do it better. So that will be something in our minds. But big corporate structural change, no. Changes to reporting segments, I prefer not. I think that's not something that's going to help delivery of our targets in 2025.  But look, I'm going to challenge the corporation and challenge ourselves to simplify everywhere we can. You felt it in the buyback guidance today, simpler guidance to help the market. You'll just see us continuing to push that and push that, but I don't want to do a giant wave now. Paul, did I answer your question?
Paul Cheng: Yes. Maybe that if I can. Along the way, you guys have done a number of joint ventures whether [indiscernible] but from an organization or data management, joint venture, a lot of time is difficult. So if you're trying to make it more simplified going forward, so we assume going forward, you will revise lesser on the joint venture structure? Or was that this is a different topic and you don't think it matters?
Murray Auchincloss: I don't relate to the JV structure as a mechanism to simplify or not on business delivery. I relate to the joint venture structure as a mechanism to more efficiently create value. So if you think back to Lightsource bp, we took it off balance sheet. We geared it up 5 years ago, and we let it grow on its own. That decision was about giving them independence so they could grow rapidly.  They've now hit the limits of that, and we need to bring them back in, reset it and have a new model moving forward. But it was all a value-based decision as opposed to an efficiency-based decision.  Think about BPX in the Lower 48, we decided once we bought BHP to allow that entity to have an OMS but not an OMS that was of a similar quality to our offshore businesses and that allows it to operate more freely, access acreage faster, do contracting faster, et cetera. So for that particular basin, solar and BPX, we felt that, that separate model would help them deliver more efficiently.  So to me, it's about the structure that we use, is all about how do you create max value. That's how I think about it and that's how we will continue to think about it moving forward. Thanks for the question, Paul.  Just back on the line one more, and then we'll come back into the room. Roger Read, please. Roger?
Roger Read: I guess probably coming back around on a couple of the questions already been asked. I just want to make sure I understand, on the improvement in EBITDA that you're looking at for $70 base, Brent, is there a way to think about that from a how much is likely from, let's call it, the conventional production side, whether it's the gas or the oil piece? And is that a mix issue with these new projects coming in? Or is there something else in terms of OpEx reduction we should be paying attention to? That's kind of question number one.  And then in terms of the financial frame on the returns here of capital, and I appreciate the clarity, I think that's a nice step forward. If I think about your returns as a percentage of EBITDA compared to some of your peers, it's still on the lower end. So I'm just wondering, do you think about it as strictly what BP is capable of or do you want to try to close the gap longer term with peers in terms of, call it, ratios or percentage metrics?
Murray Auchincloss: Great. I'll let Kate answer the second one. On, EBITDA, so just 2025 is the -- I think what your question is, Roger, hope so, because I don't carry the 2030 numbers is tightly in my head. But for 2025, if you normalize 2023 to '25 conditions, we're at $44 billion of EBITDA moving towards $46 billion to $49 billion in 2025. We obviously have growth in the upstream that we've been talking about.  There are divestments along the way that may or may not happen. Some of these ones are pretty tricky, but there are some potential divestments we've talked about in the past that may be part of that mix as well. But the new projects that are coming on are of higher quality to the existing business. I think the uplift is about 15% to 20%. So you should see margin mix impact from the upstream across the time period. So that's the first part of your question.  Additionally, we talked about the transition growth engines earlier. We see growth of 1 up to 3 to 4 based on the acquisitions we've done and the direction of travel with the rest. So I think that should help you think about how we get into that $46 billion to $49 billion realm. Probably the first half of it is the historical oil and gas business and refining business, and the second half is the transition growth engines as well.  I feel pretty underpinned on the $46 billion to $49 billion, to be honest. I think we'll hit that quite easily. Kate?
Katherine Thomson: Yes. Thanks. And morning -- very early morning for you, Roger. Thank you for joining us today. Let me step back a little bit. So if you think about our balance sheet and where we were in 2020, we had net debt of over $50 billion. And I think you could argue we're starting from perhaps a slightly different place than some of our peers. And the focus that we have put into strengthening the balance sheet and putting 40% of surplus to that balance sheet and deleverage over the last few years, I think, has been really, really important.  And as we've said today a number of times, it's taken us to a place now where we are stronger than we were. We've got confidence that our balance sheet can tolerate movements. And that has allowed us to do more with regard to shareholder distributions and move to the 80%. We feel that's in line with our peers. And so it's very much around the journey that we've taken to get to where we are today. Today, with what we're announcing with our predictable, simplified enhanced guidance, we feel that, that very much puts us in line with our peer group.
Murray Auchincloss: Good. Thanks, Roger. Why don't we come back into the room. Yes.
Josh Stone: It's Josh Stone here from UBS. Two questions, please. Firstly, you haven't made any reference to emissions today. You revised your scope 2 emission target this time last year. Just how comfortable do you feel with that target for 2030? Are there some easy wins you can do to reduce emissions and still maintain value?  And then second question for Kate on working capital. You mentioned there was a large release related to LNG. Just can you remind us, is there anything left to release on the LNG side?
Murray Auchincloss: Sure. On emissions, so we'll update our emissions in the ARA for what we actually achieved in 2023. We're still busy calculating that, as you can imagine. But I think we've got strong progress on scope 1 and scope 2 emissions from our company. We continue on with the drive to hit 50% reduction in emissions from scope 1 and scope 2 by 2030. That's engineering. It's pure and simple engineering.  Now it's big programs like you'll see in Indonesia of taking carbon injecting it into the reservoir, getting more natural gas out, the carbon stays and trained, and there's less emissions for the planet. So those are the kind of things that we'll be doing, but it's a very -- Gordon has a very precise list of projects that we'll work our way through over the next 4 or 5 years to hit that particular target.  I mentioned earlier, aim 4, which was about methane reduction. We hit an incredible milestone. Huge compliments to Gordon and the team for putting methane measurement in place across the oil and gas business. That's demanded new engineering, new technologies, working internally and externally to get to that result. I really proud of it because it's the most important thing for the planet that we reduce these. Methane emissions, we'll, of course, be sharing this technology and this learning with anybody inside the sector who wants to. On aim 3, the product mix changes, right? The product mix just changes over time. You could hear what I was saying about more electrons being sold. So we have fuel stations where we sell fuel. Some of that's migrating towards electrification as an example. And I think sales of electricity over 150% up on the previous year. So no concerns with the direction of travel we have right now.  And we are seeing strong adoption. And we think things like Lightsource bp will help us immensely on this journey as well. So we can couple lower carbon offers with natural gas offers to customers as well. So no change. No change to what we're thinking as far as the aims go. Kate?
Katherine Thomson: Yes, thanks. Thanks, Josh. So back at the third quarter results, I talked about around $3 billion still to come in terms of LNG delivery. As you saw, we've got around about a $2 billion working capital release in the fourth quarter. Most of that is related to LNG deliveries. So I would hold it that there's about a 1 left to come, as those deliver through the course of the first half of the year.
Murray Auchincloss: Great. Thanks, Kate. Martijn.
Martijn Rats: It's Martijn Rats from Morgan Stanley. A little positive in this set of results. I mean you're giving us an awful lot to work with. So that's great, but I do want to ask you two things. I wanted to ask about the impairments because in the fourth quarter, there were still some impairments, and we tend to sort of shake them off and say, well, noncash, but it was cash once. Is there some common denominator in this impairments, perhaps you can sort of say a few words about that?  And the other one I wanted to ask about the activist shareholder letter, if you had any response to that? I know it's a small investor, but nevertheless, it was sort of intriguing.
Murray Auchincloss: Why don't you start with impairments, Kate?
Katherine Thomson: Yes. Thanks, Martijn. So impairments, yes, as you would expect every quarter, we look for potential impairment triggers. In the fourth quarter, there are a number of things that come together. We update our price perspective. We update our group discount rate. We've got our changes to reserves, and you put all of those assumptions together and -- so it's a confluence of a number of things coming together that cause impairments.  So a theme around updates to prices and rates, coupled with some other things that are going on -- for example, one of the things I would talk about -- I think in the stock exchange announcement, we do reference BPX. We were out in Denver. We are unwavering in our confidence with regard to BPX. There's a couple of things going on in that number. And it's price and discount rate, but it's also some acreage swaps that's driving that.  So you shouldn't interpret the impairments as having any impact on our EBITDA targets in 2025. If there are some changes on reserves, we may see some downward trend in terms of volumes from one part of our portfolio, but they're offset by upward trends in other parts of the portfolio. So we're comfortable.
Murray Auchincloss: And then on your second question, Martijn. Look, we welcome constructive engagement with all shareholders. I think that's an important thing as a publicly traded company, we think about.  We disagree with our assertions. We just disagree with them, if I'm honest. We run an integrated model. I think you've heard me talk about integration quite a bit today, and we think we do it fairly well. We're really proud to be bringing Lightsource bp in. It has a strong track record of delivery. It's a top 5 solar producer globally, and it's achieved mid-teens returns -- mid-teens returns over the past 5 years in their development flip model.  And we've obviously been in power for a long time, 15 years now in the U.S. in integrated power onshore. So we do quite a lot with electricity across our business, coupling it with gas. I think we're #1 in gas and #2 or 3 on any day in power trading in the United States.  And on offshore wind, as we've said before, our returns hurdles on offshore wind are 6% to 8% unlevered. But by the time you lever it up, by the time you farm it down and bring in a partner, by the time you integrate it into our business, you're well into double-digit returns, and that competes well with the rest of our business.  So we're happy with our strategy. Direction is unchanged. You'll see us be much more focused, much simpler and very, very returns focused, but we're very happy with the direction of travel and the shareholders I talked to are happy as well. Thank you for the question. Next question in the room?
Unidentified Analyst: Can I go back towards cash flow? And just if I look at the cash flow statement [indiscernible] movements in inventories, other current liabilities, et cetera, et cetera, it's been in the order of 9 billion, 9.5 billion the largest, past 2 years sort of that's upon the -- most of the LNG is now with you. I'm just trying to understand the extensive -- the reasons behind the increase -- on through that particular line, how much of it is about putting more up on trading, so on and so forth, perhaps you can help me. Sorry, I should have taken a microphone...
Katherine Thomson: I'm going to turn to my cash flow statement set as well...
Unidentified Analyst: There is a second one.
Katherine Thomson: Do you want to ask the second one, while I just look at the cash flow statement?
Unidentified Analyst: Yes. And the second one is, it goes back to the customers' business and just 2019, the guidance for '25 with $7 billion of EBITDA from the $5 billion base, 4 years on, 3 years on with $4.3 billion or so of EBITDA. You're indicating $1 billion or so of further improvement from the transition growth engines in that business. There's obviously something that comes from travelers, but help me bridge the gap.
Murray Auchincloss: Sure. Why don't I take the second one, while Kate looks at the working capital question. On C&M, We have a target to get to $7 billion in 2025. I feel okay about it, I think is the way I'd say it. We're 4 and a bit right now. TravelCenters comes in for a full year. Castrol has now started to show a trend 5 quarters in a row, gradually creeping up. That's good. Convenience growing 9% year-on-year. That's good, and that continues. Electrification moving from a loss to positive, so it's a lot of small movements we see that start to drive it up.  Something we don't control is the fuel margin. and the fuel margins have been unusual in this time period. They swung into the refineries as opposed to into the service stations itself.  I can't predict how that's going to turn out in 2025. I just really can't predict that. but there's probably $1 billion of swing on that. So you might see a number of 6 to 7 in C&M in '25, but the other billions likely to be in the refineries instead. I just can't predict at Lucas because it's really -- it's difficult to predict where that margin is swinging up and down that value chain.  So because we run an integrated value chain, I feel comfortable with 46 to 49. It just may be 6 as opposed to 7 in C&M and it may be a bit higher inside our refineries. So that's how I get comfortable that I can see that path. It's been a tremendously challenging time period for that business. When you think about COVID and lack of travel, when you think about how long the lockdowns occurred inside China, when you think of the inflationary pressures in the recession, it's been a hard slog for Emma and the team, but I now feel they're back up and on it, and we're really starting to drive digitization offshoring into that business as well. So that will be another lever that we get there. So that's how I'm thinking about it, Lucas. Kate, over to you on W CAP.
Katherine Thomson: Yes. So on working capital, in terms of the detailed notes around what's going on in underlying working capital, the $9 billion release is really a function of what happened back in 2022 where we saw about a huge spike in gas prices. That's now largely unwind. As you've heard me say this morning, we feel we've got $1 billion left of unwind to come through, which is going to be one change in the working capital going forward in 2024. But the $9 billion that you see in the '23 results today is largely a function of what happened in '22 and the unwind of that position.
Lucas Herrmann: We understand each other. I mean I'm just looking at $3 billion -- sorry. And we can take it off-line if that's easier. But I'm just looking at $6.3 billion of outflow movement inventories, et cetera, et cetera, in 2022. Another $3.3 billion this year, which I assume to be working -- flows out largely working capital associated. A chunk of it last year was LNG. Much of that money has come back. I'm still unclear as to why the negatives in the cash flow or of that scale, and they seem to be predominantly around inventory or am I -- just misunderstood.
Katherine Thomson: There will be movements in inventory. There will be changes in valuation of RINs, other emissions allowances and all those kind of things flow through German MOT. If you -- we can take you through a rec and take you through how it builds up, if that's helpful, but we should do that offline.
Murray Auchincloss: Al Syme at the back of room please?
Alastair Syme: Thanks, Murray. Can I say you focus -- the theme today is about operational delivery in the next couple of years and sort of scale back in M&A to some extent. But you find yourself with a pretty strong balance sheet at a time of higher rates, is putting a lot of stress on transition players and also perhaps in the U.S. shale. There's a lot of private players trying to exit, but how do you think about utilizing that balance sheet versus the option of buybacks, which is where you're choosing to allocate?
Murray Auchincloss: Yes. Thanks, Al. I guess I start from the position that we've done a lot. We've already done a lot with EDF, Lightsource, Archaea, TA. And there are only so many of these things you can do at once and deliver them effectively. So we're probably -- we've probably got 1 or 2 more in this for the next couple of years. And then that's about the saturation point that you can actually integrate these things effectively. That's how -- that's the starting thought I have. I'm very countercyclical.  That's why you saw us do Lightsource bp when we did because it was a nice countercyclical opportunity. So I'm very -- and TA as well. So I'm very focused on new countercyclical opportunities. So I am sympathetic to that. But there's just -- only so much the corporation can absorb at once and get the systems right, the processes right, the culture right. That's what's so critical for us.  Natural gas in the U.S., let's see where gas prices go. Certainly, there's the chance that gas prices get suppressed. Would you think about doing something countercyclical in gas if an opportunity came up? Maybe. But I've got 22 Tcf of natural gas inside BPX right now between the Haynesville and the Eagle Ford. So it would almost have to be super cheap or free for me to contemplate that given that we've got so many years of development ahead of us with natural gas with the resources we have in the best place in the United States right now.  So I believe in countercyclical, that's what we've done. We're probably getting close to the limit of what we can do to effectively integrate it, and that's what's the driving consideration in mind as I think about slowing down a little bit moving forward. Hope that helps, Al. Sorry, you've got one more follow-up?
Alastair Syme: Yes, sort of BPX actually more liquids in Permian...
Murray Auchincloss: I'm sorry...
Alastair Syme: You met on BPX, more liquids in Permian rather than gas.
Murray Auchincloss: Yes. liquids, I think we've got 8 to 10 years of runway right now with infill drilling. I think it's countercyclically. So you'll do acreage swaps, which we're doing all the time in BPX. I think we've done three big acreage swaps over the past few years that we don't talk about very much. So certainly, they're focused on those types of things. But with oil around $80, I'd wait until oil dipped before I did that. I'm sure oil will dip again to $60 some time in the future at some time I can't predict. And that's the time when you use the stronger balance sheet to go countercyclical as how I think about it, Al.
Peter Low: Peter Low from Redburn, Atlantic. First question, just on BPX. There's a strong production number in the quarter. Can you talk a bit about when you're expecting the next 2 central processing facilities to start up and should think that kind of when they come online, that will result in kind of an immediate step-up in production? Or are they filled more gradually?  And then the second question was just on LNG and the target to increase that portfolio to 25 million tonnes. Does that include any volumes from Venture Global? And can you perhaps update just what's happening there?
Katherine Thomson: Yes. So thanks, Peter. On BPX, yes, so the next 2 facilities come online. Checkmate is tracking well to be online this year. And the final one comes online next year. The way to hold it is that we're paying at around about $500 million of our capital in BPX into completing this infrastructure build-out. That will then allow us a, to fill it, which is really important. So a drill and fill perspective.  And then we'll be able to take that capital and use it to put into our effective production drilling activity rather than using it to carry on completing the infrastructure. So that's going to help as well. So that's kind of the way to hold it is we're going to be able to fill those gathering units and then we're going to be able to redirect that capital to more productive uses as well.
Murray Auchincloss: Great. Thanks, Kate. On LNG build-out, we're 23 in '23, 25 in '25 is the target. We expect to get additional volumes, as you say, from Venture, Tortue and Beach. If you go check the numbers, those add up to weigh more than 25. So that's why we feel very comfortable with 25 in '25. I'll be surprise different not higher than that, but let's not set too hard at performance contract for Carol in the room. As far as Venture itself, it continues in commercial dispute. I'm not going to get into any details on it other than to say that we will enforce our rights rigorously. One more question in the room, then we'll go back to the lines.
Kim Fustier: It's Kim Fustier from HSBC. You wrote off the vast majority of your initial $1.1 billion investment into U.S. offer win that was the Equinor JV. What's the path forward for those projects? And do you think enough has changed in your decision-making processes to ensure that something like this doesn't happen again going forward?  Secondly, I just wanted to ask about the robustness of project economics in the low-carbon space in the U.S., if the incentives were to change for whatever reason?
Murray Auchincloss: Sure. I guess maybe I'll tackle both of those. On the East Coast venture with Equinor, over time what we've decided is that integrated delivery models are much more important for us than a PPA-like model. Empire really is a PPA model. So it was time to divorce ourselves that Equinor carry forward with that, they want to do that. And for ourselves, we'll step away from that one. In exchange, we got some land that we can monetize as well as Beacon. Beacon's 2.5 gigawatts.  It stands the transfer integration. So we're #1 gas trader in the United States, #2 or 3 in power. We see the capacity to absorb that into that book and create some interesting value. We'll take our time to do this. We're not in any rush. The U.S. really needs to build out. And of course, we'll bring in partners, et cetera, over time. So that's how we're thinking about that.  As far as decision-making quality, I think back in 2020, we were taking this as a first step into the basin, recognizing that we were paying a premium to learn. We learned and we move on from that is, I think, the best way for me to describe it moving forward.  Economics in low carbon incentives, et cetera. I think we just need to remember that incentives exist everywhere inside the energy space across the United States and across most countries in the world. There is an equal incentive in oil and gas, called the intangible drilling credit, as there is RINs, as there is on the IRA. So the U.S. is a place that incentivizes energy provision across the wide range of it arrangement.  Sometimes we get a little bit forgetful. And we think it's only new energies that have those incentives. That is not true. As far as the new energies themselves, I think, Carol, with the Archaea model, we feel very good without the incentives to drive forward well above our returns thresholds if those incentives moved away. But to be honest, those incentives have been in place since the early 1970s.  They come and gone in different guises but biogas and biofuels, in particular, have had all kinds of incentives, if not at the federal level, then at the state level, as different constituencies want to transition.  Hydrogen in particular right now will be a place we have to watch. What happens, new regulations came out from the IRS that we're providing comments on. We'll just see -- have to -- we'll have to see how that progresses, and what the nation decides to do. They have the choice to continue to accelerate or they have the choice to decelerate that particular space. And we'll just have to pragmatically react to how the United States decides to move these things forward.  But we have lots of opportunities inside Europe, lots of opportunities inside Australia, so we can always pivot to what the best returns are inside the portfolio. Hope that helps with those questions. Why don't we go back online now, Ryan, please?
Unidentified Analyst: Maybe a couple for me. On the refining side of the business, products results were quite weak this quarter. You've had a lot of moving pieces in the portfolio in recent years. And even though margins were weaker in the fourth quarter than they've been of late. They were still particularly seasonally relatively solid and above mid-cycle in most places, and you posted a loss in the business.  So as we think about the earnings power of your refining business, can you help us understand on the quarter, maybe some of the moving pieces, whether one-off or specific trends that might have been headwinds? Was it a trading issue a matter of specific hit? Or how should we think about what was or was not maybe kind of repeatable on this fourth quarter?  And then the second question on Lightsource bp, you referenced mid-teens returns over the last 5 years, which is very impressive. We don't have a lot of visibility on that. However, maybe we'll get more going forward. But as you look over the next 5 years, could you maybe talk about some things that have or have not changed in the environment, particularly if you think about the build and farm down business? Are there -- are margins compressing on that side or not? How do you think about margins over the next 5 based on trends in that business versus the last 5?
Murray Auchincloss: Super. Thanks, Ryan. Kate, do you want to take refineries. I'll take Lightsource?
Katherine Thomson: Sure. Thanks, Ryan. Good morning. Thank you for the question. In the refining portfolio, we did signal a significant level of turnaround activity and maintenance in the fourth quarter. And it was a very heavy quarter, as I said, I think in my prepared remarks. We had a full site turnaround at Castellon. We also had unit-level towers at 2 other refineries.  So if you look at what's going on, I think credit to the team are -- availability is really high. So we're at 96.1% for the quarter. Our utilization as a consequence of the level of activity in those refinery turnarounds was down to around 84%. That's really what's driving it, coupled with the slight drop in margins that you recognize.  But yes, it's around the level of activity that we are putting through those refineries to upgrade and make sure that they are maintained and solid as opposed to what's going on in the refinery margin environment.
Murray Auchincloss: Yes. I think if you adjusted for those, Kate, they'd be quite comfortable profitable, in line with expectation.  As far as Lightsource bp and trends, so as I talked about over the past few years, that's what the return cycle has been.  As interest rates have risen in 2023, it's been quite difficult to get prices and interest rates to match in a development flip model. In Australia, Lightsource was able to move transactions forward. In Europe, they were able to move transactions forward, so there wasn't a disparity between price and discount rate, but the United States was a challenge.  And it was a challenge on pricing to get price high enough to match the discount rates. So they slowed down the program in the United States. That will be something that picks back up, as we see interest rates drop through '24 and '25. You guys will be able to guess interest rate trends better than I will, but we all read the same stuff in the media, I am sure. So I think that's one particular trend.  We do see lots of capacity for solar. There are more and more countries that are starting to develop solar. So I don't feel supply chain bottlenecks happening, and demand just continues to skyrocket. And I think especially the trend that is interesting is GenAI. And I think the more and more that corporations, individuals use GenAI, we'll see more and more demand for power.  And I think we're going to need every little bit of renewables and natural gas we possibly can to help power of the world systems given that expansive demand inside GenAI. So I hope that gives a super high level overview, Ryan, for the question. Anybody back in the room? Irene. Sorry, I can see you behind the podium, Irene.
Irene Himona: Irene Himona, Societe Generale. Murray, you highlighted how moving from origination to execution is going to be key to delivering operational excellence. I'm curious as to how you do that in practice. So what levers do you have to drive a sort of cultural or working cultural change day to day?  My second question, you highlighted throughout the presentation that amazing volatility we've obviously had in the last 3 or 4 years. If we do find ourselves in a world of 60, how -- I understand we will still get 80% of surplus cash is buyback. How should I think of the flexibility of the $16 billion of CapEx which you announced today in that scenario?
Murray Auchincloss: Yes. Great. Thanks, Irene. Culture. I suppose it's what -- it's where we as leaders inside the team place our emphasis. Do we place the emphasis and the encouragement for new stuff? Or do we encourage people to get on with sanction and move forward? So there's something about, as a leadership team, we need to shift our focus to the execution side.  And then equally importantly, how do we align third-party contractors on that basis? How do we make sure the supply chains are robust and how do we gain confidence and then what we're doing will be as efficient as it possibly can be. So I don't think it's a material challenge to start constructing. The material challenge will be to turn off the old stuff and all the other things. That's the material challenge that we have that each and every one of us, as leaders, is constantly focusing on.  I'm looking at Leigh-Ann, who runs our digital. Everybody wants to spend lots of money on digital and do their favorite programs. The key is in really, really getting control in it and focusing it down to only the big things that matter. So I don't know, maybe not every company is like us, but that's always our challenges turning off the old stuff.  On $60 world, we actually have quite a bit of flexibility inside -- you changed your oil and gas drilling plants, and we've got quite a bit of flexibility across the portfolio to swing CapEx down materially, if we needed to. Kate, I don't know, would you like to add anything to that one?
Katherine Thomson: No, I think that's absolutely right, Murray. I think where we started 2023, we're at 16 to 18. And as we went through, we tightened that write-down and by the time we got to 3Q, we were saying around 16.  And I think for me, the most important thing is creating the right level of focus. As you'd expect, at this stage, we've probably got a fair bit of CapEx committed for 2024. And as Murray said, we've got a lot more flexibility with regard to '25. And I was hold BPX as my big optionality within that frame to move things up and down if we need to make fast reactions. But what I would say is that the strength of the balance sheet, the resilience we've created as a consequence of that means that we don't have to make sharp reactions and we can take our time, but we have flexibility.
Murray Auchincloss: Thanks, Irene. Let's go to online again. Bertrand, please.
Unidentified Analyst: Yes. Congrats for the result, Murray and Kate and the clarity of the overall message. Two questions, if I may. So one follow-up on the offshore wind. Do you have a plan for FID in the next 2 years, by example, in the U.K.?  And the second question is, as you mentioned, reserve replacement ratio was quite low for both '22 and '23. Reserves to production life, SEC basis is just around 8 years, and this is, by the way, where you want to sit in the coming years. Can you remind us why 8 years is the right number for BP going forward?
Murray Auchincloss: Great. Thanks, Bertrand. I can take the reserve replacement ratio. Kate, do you want to think about FIDs for offshore U.K.?
Katherine Thomson: Sure.
Murray Auchincloss: Go ahead.
Katherine Thomson: Yes. So I would have said the U.K. offshore wind projects are progressing well. We've got good clarity around grid connections, which was one of the most important things. So we'll be moving through that.  In terms of FID, probably not this side of the end of 2025, but probably early once we get to the other side of that. I say we're progressing well. We've got clarity on good connections as the most important things to give us certainty as we move towards FID. And we're working hard with making sure that the supply chain is set up.  There has been quite a lot of inflation inside the supply chain for offshore wind right across the remit of what we require. So we're managing that as we approach FID, and I say we'll take that decision as we get clarity and as we're confident on the turn situation, and let's see how the political environment shapes up in the U.K. over the next 2 years as well. But at the moment -- yes, towards the end of the 2-year time frame, early following that is how we're thinking about it currently.
Murray Auchincloss: I think on reserve replacement ratio, I'm happy at 8. We talked about 8 at Denver. It's a conservative 8, I think, is a way to think about this. Over time, we've really, really tightened the definition of what reserves you can book to a place of conservatism where this 8 is -- would have probably been much higher a decade ago so I think that's just the first thing to have in your mind.  Second, I worry more about proved developed reserve replacement ratio than I do total proved reserves. And as long as you're 90% plus, I feel good about the ability to sustain a business of our scale. And when you see the ARA, you'll see that our numbers are looking very good on proved developed reserve replacement ratio.  Moving forward then, obviously, all these sanctions will drive our PUD bookings up higher, as we sanction these things across the next 2 years. So I think there's just -- it's a bit more conservative than it has been in the past. And that's why it feels okay to me. Bertrand, I hope that helps.  Any more questions in the room? I've got two more online.
Giacomo Romeo: Giacomo Romeo, Jefferies. First question is on your convenience and EV charging EBITDA targets. Obviously, you don't give us a split and it's understandable. Just I'd like to understand how much this -- the outlook -- the split between the two has changed in your mind over time? I've noticed that your customer touch points perhaps are not growing as fast as you thought. That's potentially impacted your convenience EBITDA growth, but perhaps you are accelerating growth on EV charging.  So just trying to understand how sort of you're thinking, how you're going to get to those '25 and '30 targets in your mind and how that has changed? And if I can ask a clarification on -- I'm sorry, your definition of here on current market conditions in the context of your buyback plan, very welcome the visibility.  Just trying to understand, as you mentioned Murray, it's a volatile macro environment, how much willing are you to lean on the balance sheet if there is a, say, blip in the macro for a couple of quarters and -- or should we look at this as an 80% on whatever is the outlook for the year?
Murray Auchincloss: Go for it Kate, and I'll sweep up on convenience and electrification.
Katherine Thomson: So on current market conditions, I'll say -- what I said to start with which is I'd look at where our basket of commodities has been year-to-date. It gives you a really good sense of how we're thinking about that.  We've got the ability to tolerate movements. You're going to see movements in our debt going through the next 4 quarters of this year based on purely what's going on inside the business so that even looking at the environment because of the weighting of CapEx in the first half and divestments in the second half. So you're going to see it move around. I'm comfortable with that.  Our net debt at 20.9 gives us quite an ability to tolerate that movement. And as I say, if we get a fundamental disconnect in the market, then maybe we'll take another look. But I think you should hold it as there's a fair degree of tolerance around the conditions that we've had today across oil, gas and refining.
Murray Auchincloss: And I suppose we have said that the $1.75 billion this quarter is done and $1.75 billion and $1.75 billion in the next 2 quarters as well as, not subject to market conditions. So that's a fair degree of certainty.  On convenience electrification, there are a lot of things that have moved over the past 4 years. I think just some highlights in our mind. We thought fleets would move first. But given recessionary pressures and some relief from governments, fleets have slowed down. Contrasted with that, consumers have moved faster, mandates, preferences, whatever. So we found ourselves over time. We thought we'd be doing fleets as we started this. It's actually drifted more towards individual as opposed to fleets.  We started with thinking about 12 countries, is where we focus for now, given adoption levels. We're really focused on 4 countries, U.S., U.K., Germany, China. And so you've seen us very, very focused on where are the places that we think maximum adoption rates will happen. And we see it. You see the metrics on sales, et cetera. You can see that 2 of those countries are profitable already, and we feel very comfortable that we'll move into profitability with the other countries as well. So those are the kind of changes.  We've deployed less capital than we thought we would. Why? Because we concentrated down to 4 countries as opposed to going after 12 countries. So that's the EV side, but the 2025 target, we're still saying get into profit in 2025. So no change to it, just a bit less capital than we originally would have been thinking.  On the convenience side, it's remained really robust. I'm really surprised about how robust convenience has been. Ex-TA growing 9% per year in gross margin despite the fact that you had COVID, lockdown, invasion, recession. You've got a perfect storm for that business. But given the power of the brands that we have like a Marks & Spencer here, and I can say the same for other countries, given the great work the teams are doing on digitizing, integrating the business in the U.S. together, we've started to integrate ampm with Thorntons with TA together in a way that we haven't in the past. You're just driving much more efficiency into that business.  So what will happen, the 1.5 will obviously largely be convenience, and it's more convenient than I would have expected, to be honest, given the headwinds that we faced. So I hope that helps a little bit, and you can always catch Emma afterwards to find out more from her. I think we're down to the last two questions online. Matt, go ahead.
Unidentified Analyst: Two, please, if I could. On distributions firstly, can you just talk about to what extent the change from 60% to 80% is reflective of more pro-cyclical based confidence in medium-term macro and trading conditions? And linked to that, can we now think of the 80% as being fully through cycle as opposed to a more prolonged down cycle scenario in the future starting to trigger the case for reverting back towards 60%.  And then secondly, it feels like the emphasis on simplification and efficiency has been enhanced today, if anything versus the recent past? Is that fair? And if so, where do you see incremental opportunities that perhaps weren't called out as much in the past?
Murray Auchincloss: Great. Super. Kate, do you want to tackle the first one?
Katherine Thomson: Sure. Yes. Thanks, Matt. Yes, 80%, I think, very much through cycle. If you think about where we've been since the inception of the share buyback, we're around 65% of surplus cash to share buybacks. And we've done that while making huge progress on our balance sheet. Our balance sheet is now in much better shape. We feel good about it. As I've said a number of times this morning, we can tolerate movements, so we feel huge confidence in our balance sheet.  We feel huge confidence in the business performance and the ongoing momentum and delivery. So I mean, if there's a fundamental change, then we'll look. But right now, I'm confident that we can be completely clear that this 80% of surplus is going to be through cycle. This is an upgrade, and it's pretty much in line with the pro rata upgrade over 4Q and the first 2 quarters of next year, moving from [indiscernible] pretty much pro rata with that, but -- so it's about confidence in our balance sheet, confidence in our business performance and the ability to tolerate movements around.
Murray Auchincloss: Yes. And then on simplification, I think what I'd say is there are lots of opportunities. A new team we can reflect on and think about how we can work together more effectively. We can simplify our narrative, which you started seeing us do today. We can simplify overlap inside organizational structures that we've talked about today. We can simplify buyback guidance, which you've seen today.  And there's a long list of these things that the leadership team and I are thinking about. And our challenge is how do we just gradually do these things over time. driving efficiency into the business at the same time that we keep superstructure strong and keep the drive and focus on the strategy is strong. So that's really what I'd say.  But the efficiency drive, we'll be able to do an awful lot more with digital, now that we've got GenAI inside. We'll do an awful lot more as we progress the digitization of the downstream business. We have offshore centers to build up now. That will drive an awful lot of efficiency into the business as well. So we -- I think we're enthusiastic, and we see a lot of opportunity in this space about simplicity, focus and then hard focus on returns.  Thanks for your question, Matt. And the last question goes to Menno.
Menno Hulshof: Thanks for squeezing me and I know it's been a long call. I'll just start with question on the Paleogene as the key driver of liquids growth in the -- gone through 2030. Can you just give us an update on where things stand at Tiber and Kaskida? And what are the key risks in bringing on initial volumes in that 2028 time frame?  And then my second question, I believe, is for Kate, just on divestments which fell a bit short of 2023 guidance. Is there anything to read into there? Is that largely a timing issue? And I guess the second part of that is how much of a priority is getting the next, call it, $2 billion to $3 billion of asset sales across the line, given your confidence in the balance sheet?
Murray Auchincloss: Kate, why don't you start on the divestment.
Katherine Thomson: Thanks, Menno. Yes, a few things on divestments. Yes, we were slightly short of our guidance that we put out at the end of the third quarter. I think you wouldn't be surprised to hear me say that, as Murray has talked about a lot. We are hugely focused on value. And if I get the sense of transaction isn't delivering value because I'm trying to hit a certain deadline to close it, I'm not going to do that.  So there's 1 or 2 that we have allowed to move into 2024. We're just going through the process again to make sure that we're getting maximum return for those assets. And that is what I'm going to be focused on delivering with regard to the divestment target.  Broadly, at the moment, I would say we're on track for the 25 by '25. Let's see how it goes. I'm confident in the 2 to 3 that we've said we're guiding for 2024. But as I say, I'm much more driven by getting value for the transactions we're executing. I'm not going to be solely driven by hitting a number and a target if that doesn't make sense, and we're not getting the returns that we need so that's how we're going to be looking at it, and that's what we're going to be focused on.
Murray Auchincloss: And what a nice way to end the conversation on a Paleogene question, 9 billion barrels of oil in place, highly discovered resource across Kaskida, Tiber, Gila exploration opportunities with new acreage that we picked up as well. It's time for BP to open that basin up again after a 15-year hiatus. So we're really excited about it. We have full teams on Kaskida and Tiber moving forward right now. Kaskida, we hope to hit FID this year. Let's see how it goes.  I think the principal challenge in time line will be yard space. We're just sounding out yards now as we go and when you can get slots inside the yards to build these things. The subsurface feels derisked now. There's enough production analogs around Kaskida from similar fields with similar characteristics so I don't feel there's really any risk on the subsurface perspective, probably just more upside than risk.  The development cost looks very competitive. The economics look competitive so it will really be slot timing and we'll update you with that as we go through the year.  Tiber will be a follow-on from Kaskida. You'll be doing these in sequence. And let's see, we haven't -- let's see where we go from Kaskida to Tiber. So I think my encouragement to the team is to do everything safe with cycle time. That's what creates the most value for the corporation to save cycle time. And that's what Gordon, you and I are working on, on Kaskida and Tiber.  So thank you, everybody, for attending today here in person and online. It's much appreciated. Just a few final words. Our destination is unchanged, IOC to IEC, but we're going to be simpler, more focused, more efficient and really driving for value. Thanks very much, everyone, for taking the time today to visit with us and look forward to seeing you in the future. Bye-bye.